Operator: Good afternoon. And welcome to Digital Realty First Quarter 2021 Earnings Call. Please note this event is being recorded. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Callers will be limited to one question plus a follow-up. Due to time constraints, we will conclude promptly at the bottom of the hour. I would now like to turn the call over to John Stewart, Digital Realty’s Senior Vice President of Investor Relations. John, please go ahead.
John Stewart: Thank you, Operator. The speakers on today’s call are CEO, Bill Stein; and CFO, Andy Power. Chief Investment Officer, Greg Wright; Chief Technology Officer, Chris Sharp; and Chief Revenue Officer, Corey Dyer, are also on the call and will be available for Q&A. Management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our 10-K and subsequent filings with the SEC. This call will contain non-GAAP financial information. Reconciliations to net income are included in the supplemental package furnished to the SEC and available on our website. Before I turn the call over to Bill, I’d like to hit the tops of the waves on our first quarter results. First, we demonstrated our commitment to delivering sustainable growth for all stakeholders with efficient and socially responsible capital raises and corporate governance enhancements. We continue to enhance the value of our global platform, extending connectivity offerings globally, recycling capital and investing to fuel high quality organic growth. We delivered solid financial results with core FFO per share up 9% year-over-year and $0.09 ahead of consensus. Finally, we continued to strengthen our balance sheet, lowering our weighted average cost of debt with the redemption of high coupon debt and preferred equity, while extending our weighted average duration with the issuance of attractively priced long-term capital. With that, I’d like to turn the call over to Bill.
Bill Stein: Thanks, John. Good afternoon and thank you all for joining us. Our formula for long-term value creation is a global connected sustainable framework and our first quarter results demonstrate the strength of this framework. Our business is increasingly global, with first quarter bookings very evenly balanced across regions. We continue to align PlatformDIGITAL with our customer’s digital transformation issues by expanding our unique interconnection capabilities focusing on connecting centers of data across our robust, reliable global platform. Last, but not least, we continue to advance our initiatives to deliver sustainable growth for all stakeholders. Let’s turn to our sustainable growth initiatives here on page three. We were recently honored to be named EPA ENERGY STAR Partner of the Year for Energy Management for the second year in a row. We were also recently honored to receive the 2020 largest financial Corporate Green Bond Award from Climate Bonds Initiative. We expect to publish our third annual ESG report during the second quarter, providing transparency on our ESG performance for 2020, as well as a comprehensive overview of our clean energy commitment, resource conservation, diversity, equity and inclusion, and other sustainable business practices. We are committed to minimize our impact on the environment, while simultaneously meeting the needs of our customers, our investors, our employees and the broader society. In terms of our social efforts, we recently joined leaders across 85 industries, inciting the CEO pledge on CEO action for diversity and inclusion, an initiative to advance diversity and inclusion in the workplace. Our Board of Directors also amended our corporate governance guidelines to clarify that director candidate pools must include candidates with diversity of race, ethnicity and gender. Finally in February, our Board of Directors amended our Nominating and Corporate Governance Committee Charter to formalize oversight of our ESG programs, including sustainability, as well as diversity, equity and inclusion. We are doing our best to play a constructive, proactive role in advancing our broader goal of delivering sustainable growth for all our stakeholders, investors, customers, employees and the communities we serve around the world. Let’s turn to our investment activity on page four. We continue to invest in our global platform, with 44 projects underway around the world, totaling more than three 100 megawatts of incremental capacity scheduled for delivery over the next 18 months. Half of this expansion is underway in EMEA, while the balance is split roughly evenly between the Americas and APAC. In EMEA we continued our extension of the highly connected legacy Interxion campus in Frankfurt and began construction on the Neckermann expansion campus. During the first quarter, we broke ground on the first 26 megawatts on the expansion campus which are scheduled for delivery next year. Demand in Frankfurt remains strong and our campus with access to over 700 carriers and ISP continues to attract customers from around the world. In France, we were adding capacity in Marseille, as well as Paris. Demand in Marseille is largely driven by the 14 subsea cables that terminate in our facilities where we are transforming a former abandoned World War II U-boat bunker into a modern and vital communications hub for over half of the world’s population. In Paris, we continue to develop Interxion Paris Digital Park, while the Dunant subsea cable that links Paris to Virginia Beach, was connected in our Paris campus during the quarter. We are also expanding our highly connected Brussels campus and breaking ground on another facility in Madrid to serve the broadening needs of service providers, as well as enterprises. In APAC, we recently announced the grand opening of our third data center in Singapore. We were particularly pleased to be recognized by Singapore’s Desmond Lee, Minister of National Development, highlighting the sustainable design of our most energy efficient data center in the region. Despite some COVID related construction challenges last year, we were gratified to be able to deliver this highly connected and sustainably designed facility to meet customer needs in our tightest market. Finally, in mid-March, we closed on a sale of a portfolio of 11 assets in Europe for approximately $680 million, executing on our strategy of recycling capital from stabilized assets, reinvesting proceeds into higher growth opportunities, while prioritizing long-term value creation over near-term earnings growth. Let’s turn to the demand drivers on page five. We are fortunate to be operating in a business leverage of secular demand drivers. Our leadership position provides us with a unique advantage point that enables us to detect secular trends as they emerge globally on PlatformDIGITAL. In the second half of last year, we introduced to our customers the Data Gravity Index, our market intelligence tool that projects the growing intensity of the enterprise data creation lifecycle and its gravitational impact on global IT infrastructure. In the first quarter of this year, we took the next step and published an industry manifesto, enabling connected data communities to guide cross industry collaboration for our customers, as they tackle data gravity head on and unlock a new era of growth opportunity. Recent third-party research continues to support the growing relevance of data gravity. Market intelligence from Gartner recently hosted an executive retreat and surveyed over 400 Chief Data and Analytic officers, with 83% of CEOs expecting to increase investments in digital business, with a large percentage of these firms prioritizing digital data products to drive growth. With this transition to data driven businesses, Gartner predicts that by 2024, more than 75% of companies will deployed multiple data hubs to drive mission critical data analytics, sharing and governance. We are seeing growing momentum across our enterprise and service provider customers deploying their own data hubs and analytics environments in multiple metros on PlatformDIGITAL. As I mentioned earlier, Digital Realty was recently named ENERGY STAR Partner of the Year by the United States Environmental Protection Agency for the second consecutive year. This award reflects our sharpened focus on driving sustainable design and operations on PlatformDIGITAL, underpinned by ambitious science-based targets to significantly reduce our carbon footprint by 2030. We are honored by the strong validation of our platform and our market leading innovation to capture the growing global data center demand opportunity from data driven businesses. Given the resiliency of the demand drivers underpinning our business and the relevance of our platform to meeting these needs, we believe that we are well-positioned to continue to deliver sustainable growth for customers, shareholders and employees, whatever the macro environment may hold and store. With that, I’d like to turn the call over to Andy to take you through our financial results.
Andy Power: Thank you, Bill. Let’s turn to our leasing activity on page seven. We signed total bookings of $117 million in the first quarter, including a $13 million contribution from Interxion. Network and enterprise oriented deals of 1 megawatt or less total $33 million, building upon our consistent momentum and demonstrating the growing success of PlatformDIGITAL, as we continue to capture a greater share of enterprise demand. The weighted average lease term was over seven years. We landed 100 new logos during the first quarter, with strong showing across all regions, again, demonstrating the power of our global platform. The midst of our new signings was quite healthy, with APAC and EMEA, each contributing approximately 30% and the Americas accounting for the remaining 40%. In addition, nearly 40% of bookings were generated within the megawatt or less plus Interxion category, with strengthen in the e-commerce, gaming and financial services segments. In terms of specific wins during the quarter and around the world, a particular highlight of the quarter was landing a leading APAC-based diversified digital economy platform in Singapore, where we were able to support this customer’s needs across our full product spectrum, from colocation and connectivity to a hyperscale dedicated data hall. Elsewhere in APAC, a leading cloud service provider expanded with us simultaneously in both Melbourne and Osaka. Subsequent to quarter end, we landed a leading cloud provider to anchor our Tokyo campus in Inzai, where we’ve assembled a runway of over 100 megawatts of growth capacity, as well as key magnetic connectivity solutions. In EEMEA an automotive digital technology maker deployed an artificial intelligence machine learning footprint on PlatformDIGITAL to gain access to a community of leading cloud service providers on our Frankfurt campus. In the Americas, a leading cloud provider spin it on our campuses in Sao Paulo and Rio de Janeiro. A global 2000 industrial manufacturer leveraged a partner to deploy on PlatformDIGITAL to support growing demand, enabled by our global platform and runway for growth on our Suburban Chicago campus. A global digital advertising exchange platform expanded its presence on PlatformDIGITAL to gain access to connected data communities in the Northern Virginia Metro area. Also in Ashburn, a leading video game developer selected PlatformDIGITAL to build centers of data exchange. And finally, a global IT service provider expanded a multiple metros across North America to enable new services on PlatformDIGITAL. Turning to our backlog on page nine, the current backlog of leases signed but not yet commenced reach another all time high of $307 million. The step up from $269 million last quarter reflects $66 million of commencements during the first quarter, offset by roughly $104 million of combined space and power leases signed. The lag between signage and commencements was a bit longer than our long-term historical average adjusted on eight months. Moving on to renewal leasing activity on page 10. We signed $193 million of renewals during the first quarter in addition to new leases signed. The weighted average lease term on renewals signed during the first quarter was a little less than three years, reflecting a greater mix of enterprise deals smaller than 1 megawatt. We retained 75% of expiring leases, just a bit below our long-term average. Cash re-leasing spreads on renewals were negative 2.1%, which was in line with guidance, but weighed down by to customers who were new to existing capacity as part of the expansion of their footprint on our platform. These transactions are prime examples of what we mean when we talk about our holistic long-term approach to customer relationship management. We believe we have a distinct advantage when we’re competing for new business with a customer, we -- that we are already supporting elsewhere within our global portfolio. And whenever we can we try to provide a comprehensive financial package across multiple locations and offerings, including both new business, as well as renewals. In terms of first quarter operating performance, overall portfolio occupancy tick down to 100 basis points, driven by anticipated churn in Ashburn, as well as the sale of 11 almost fully leased facilities in Europe. Same capital cash NOI growth was negative 2.8% in the first quarter, in line with guidance and largely driven by this same Ashburn churn. As a reminder, our recently acquired Western building in Seattle, Interxion across EMEA, Lamda Hellix in Greece and Altus IT in Croatia, are not yet included in the same store pool. But we expect each of these acquisitions will be accretive to our organic growth going forward. Turning to our economic risk mitigation strategies on page 11. The U.S. dollar strengthened in the first quarter, but still remain somewhat depressed relative to the prior year average, providing a bit of an FX tailwind in the first quarter. As a reminder, we manage currency risk by issuing locally denominated debt to act as a natural hedge. So only our net assets within a given region are exposed to currency risk from an economic perspective. In addition to managing credit risk and foreign currency exposure, we also mitigate interest rate risk by proactively terming out short-term variable rate debt with longer term fixed rate financing. Given our strategy of matching the duration of our long lived assets with long-term fixed rate debt, 100-basis-point move in LIBOR would have less than a 50-basis-point impact on full year FFO per share. Our near-term funding and refinancing risk is very well managed and our capital plan is fully funded. In terms of earnings growth, first quarter core FFO per share was up 9% year-over-year and $0.09 ahead of consensus. The upside relative to our internal forecasts was driven by a beat on the topline with an assist from an FX tailwind, as well as operating expense savings, primarily due to lower property level spending in the COVID-19 environment and a later the budget of closing on the non-core European portfolio sale. A portion of the OpEx savings is likely timing related and represents more of a deferral rather than permanent savings. But substantially all of the beat flows through to the raise and we are taking core FFO per share guidance up by $0.075 at the midpoint. In terms of the quarterly run rate, we still expect the split between first half of the year and the second half of the year to be approximately 49/51. In other words, as you can see from the bridge chart on page 12, we expect to dip down by about $0.10 in the second quarter, before wrapping up fairly steadily over the rest of the year due to the mid-March closing of the non-core European portfolio sale, as well as an expected catch-up in OpEx spend previously budgeted for the first quarter. I would like to point out that although we are raising our G&A forecast by $15 million at the midpoint, our implied EBITDA margin guidance is unchanged, as the lion’s share of the increase is due to geography on the income statement as we finalize mapping the Interxion cost structure and reap characterize a portion of Interxion’s OpEx spend as overhead. In terms of our financing plans, we’ve already made great strides this year, with a highly successful $1 billion green euro bond offering in early January at 0.625%, in addition to the proceeds from the asset sales in March. As always, we expect to remain nimble for the rest of the year and we may look to capitalize on favorable market conditions to lock in long-term fixed rate financing at attractive coupons across the currencies that support our assets to proactively manage future liabilities. Last but certainly not least, let’s turn to the balance sheet on page 13. As previously mentioned, we’ve closed on the sale of a portfolio of 11 assets in Europe for approximately $680 million and use the proceeds to pay down debt, bringing net debt to adjusted EBITDA back down to 5.6 times in line with our long-term target range. Fixed charge coverage reached an all time high of 5.8 times, reflecting the results of our proactive liability management. We continue to execute on our financial strategy of maximizing the menu of available capital options, while minimizing the related cost and extending the durations of our liabilities to match our long lived assets. In early January, we raised $1 billion to 10.5-year green euro bonds at an all time low coupon for Digital Realty 0.625%. We also retired $350 million of 2.75% bonds due in 2023 and we’ve repaid all $530 million outstanding on the term loan due in 2023. In mid-April, we announced the redemption of $200 million of preferred stock at 0.625% also bring total preferred equity redemptions over the past 12 months to $700 million and a weighted average coupon of just over 6.25, effectively lowering leverage by another 0.3 turns. This successful execution against our financing strategy reflects the strength of our global platform, which provides access to the full menu of public, as well as private capital, sets us apart from our peers and enables us to prudently fund our growth. As you can see from the chart on page 13, we extended our weighted average debt maturity up to nearly seven years or ratcheting our weighted average coupon down to 2.3%. A little over 70% of our debt is non-U.S. dollar denominated, reflecting the growth of our global platform and acting as a natural FX hedge for our investments outside the U.S. 94% of our debt is fixed rate to guard against a rising rate environment and 98% of our debt is unsecured, providing the greatest flexibility for capital recycling. Finally, as you can see on the left side of the page 13, we have a clear runway with nominal near-term debt maturities and no bar too tall in the out years. Our balance sheet is poised to weather a storm, but also positioned to feel growth opportunities for our customers around the globe, consistent with our long-term financing strategy. This concludes our prepared remarks and now we’d be pleased to take your questions. Operator, would you please begin the Q&A session.
Operator: [Operator Instructions] Our first question will come from Jon Atkins with RBC Capital Markets. Please go ahead.
Jon Atkins: Thanks. I wanted to ask a question about, I guess, customer retention, as well as about new logo generation. As we look at your pending lease expirations out through year end 2022, any kind of update you can give us on which markets might have greatest exposure? And is there a way to characterize how much of that you will consider it to be highly likely to renew or extend their commitments? And then on the kind of on the new business that you’re bringing on, if you think about your sub-megawatts or low single-digit -- megawatt colocation win, any way to characterize how much of that has a high kind of connectivity attach rate to it? And more broadly, I wondered if you could maybe just review initiatives you have underway to enhance productivity in your direct and indirect channels and manage those ongoing relationships? Thanks.
Andy Power: Hey. Thanks, Jon. I will -- maybe I’ll try to tackle some of the number of questions on the beginning and I’ll turn it over to Corey to talk about our channels and productivity. So just a cut them up in a little bit order here. So I would characterize, going to your second question about how much of our less than megawatt of colocation is kind of connectivity rich, I would characterize that is a highly connectivity rich piece of our business. In terms of the numbers of our customers of the 4,000 customers that we have a digital, the lion’s share of the customer count falls in that. They sit in typically some of our more highly connected destinations either dating back many years to our legacy Telx business or Interxion or Westin building or where we’ve organically grown our colocation connectivity suites across North America, I think, we have five markets across Asia-Pacific and elsewhere around the globe. So you typically see fairly sticky high retention, low churn, as well as fairly substantial pricing power quarter-after-quarter and you can see that in the retention table at the back of sup. And the definition didn’t change all that much when we migrated from the work colocation to a sizing definition. I think the first part of your question was called, look at the expiration schedule. I thought I heard a post year in 2022. I’m not sure my crystal ball can go with that much precision out that far. I would say, dramatically, we’ve been working through a few years now of more tougher sledding when it came to our expiration and that was in 2020, 2019, 2018, that was in size of the volume of the expirations, that was in the mix of expirations, in terms of kind of going back to more higher -- less pricing power locations, telco deals, concentrations of some multi-market, major customer renewals, I think we’ve done a nice job chopping a fair bit of wood and the front view mirror on the expiration schedule. What certainly looks better than what we’ve come through and I think you’ve seen that now, in terms of how our mark-to-market has called is being progressing in back into a better fashion as we kind of work through some of the lumpier contracts and you’re going to see it on the percentages of where the expirations kind of fall between the plus or minus megawatt category. So feels like we’re heading in the right direction on the expiration schedule and I didn’t touch -- definitely geographically just by the maturity of our business much were non-U.S. are out, call in EMEA, APAC type expirations into the future, which also call up higher barrier to entry, tough -- high pricing power markets. But I will turn to Corey to hit your -- the last part of your question.
Corey Dyer: Yeah. Hey. Thanks, Andy, and Jon, thanks for the question. I think I kind of captured it and you correct me if I missed it. But you asked a question around channels and how we’re doing there. And then a little bit about with the new logo that we’re getting an increase in interconnect I think are the questions, and, Jonathan, if I missed it, then you can always clarify it later. But I will tell you that really happy with the progress we’re making on channels of our, I will call it, enterprise business, non-scale business, the channel is now about a quarter of the business. So we’re pretty happy with the progress there. And then your question around new logos and how much of the new logos are adding interconnection to it. We’ve seen an increase in that. It really kind of just comes through when you think through PlatformDIGITAL and how we’re getting many, many more multi-use cases deployment, multi-site deployment, most of those look like network connectivity, as well as in control our hub. And so we’re seeing good progress across those and we’re seeing, I guess, the net of it is the channels bringing up a lot more new logos and those new logos are a little bit more interconnections in and they were in the past. Hopefully that answers the question.
Jon Atkins: Yeah. I was -- just given the challenge you brought on from Interxion and then a lot of legacy Equinix people such as yourself that are on Board, just interested in any kind of machine learning, AI, predictive analytics, tools…
Corey Dyer: Oh! Okay. Yes.
Jon Atkins: …are continuing. Yeah. Yeah.
Corey Dyer: No. Thanks. Thanks. Thanks. That’s good question. Yeah. I’m pretty familiar with that. And I’ll tell you that, you referenced a few places that some of have been, so we are not going to comment on what they’re doing. But I would tell you that, yes, we do use call it AI and I’ll say target based data set for both our prospects, our customers. And I’ll tell you that we use data and that’s really what the essence of the Data Gravity Index was, it was a -- Data Gravity Index published based on data and what we see in the industry. And it really helped us identify the shift in the infrastructure placement and connectivity that’s required across the full spectrum colocation. And so I feel like we’re doing pretty good across both those Jonathan using AI, using data to make our decision to how we target our customers. So, pretty on top of that, oh, yeah.
Operator: Our next question will come from Jordan Sadler with KeyBanc Capital Markets. Please go ahead.
Jordan Sadler: Thanks. I wanted to touch base on sort of the connectivity piece of the business, looked like there were some particular strengths in your connection this quarter sequentially in particular and just kind of curious if the pacing and the growth is something that’s sustainable, that you potentially got some momentum there or if there was anything in particular that drove it?
Andy Power: Hey. Thanks, Jordan. I would say, all -- in total volume connectivity new signs was up. I think in terms of, call, lumpier concentrations, our Latin America portion of the portfolio was certainly a major contributor. In terms of the top markets for just overall the interconnection signs, in North America was some of the usual, New York Metro, Chicago, Atlanta. But also, I didn’t notice we had some pretty strong connectivity growth in both our Northern Virginia campus, as well as our Franklin Park Chicago campus. So not necessarily a legacy highly connectivity dense location, but it’s great to see that enterprise is landing there and growing their connectivity footprint. An answer to -- partly answer to Jon Atkins question we track our new logos on a year-over-year growth basis. We don’t have this for all of our new logos, because we’re kind of combining businesses over the last year, but I call the legacy digital subset that were here a year ago, there -- they grew their connectivity footprint north of 10% on a year-over-year basis, so the new logos are growing post-landing with us. So definitely pleased, and I mean, I think, it goes back to a lot of what Corey was saying about our reorientation across the Board in terms of bringing some critical puzzle pieces together in terms of our asset profile, our go-to-market strategy led by Corey, our PlatformDIGITAL bringing to the market and many other elements I think are tied together that’s driving that success.
Jordan Sadler: Okay. And then maybe just honing in on Northern Virginia, you touched on it there in interconnect -- interconnectivity, but what’s your availability looking like in that market and how -- what are you seeing in terms of customer demand there This year?
Andy Power: Yeah. So, Northern Virginia, Jordan, obviously, you’re aware we have pretty incredible 2020 close to 85 megawatts sold overall. We kind of ran pretty darn tight on inventory based on that success, which is not necessarily a bad thing, given that the Northern Virginia has been kind of working its way out of the woods for some time now. So we ended the year with our development pathway with 100% preleased. We are now under construction and delivering building are in terms of our new build that will come along this summer. We did close to 5 megawatts of leasing in total in that market, including the full product suite. I would say the lion’s share of our focus is on the capacity we got back at the very beginning of the year. So which I mentioned we already released or pre-released on the last call. So really focusing on some of that non-retained capacity on our existing campus, but also we did landed anchor deal, a little chunkier enterprise deal and the building are coming on back -- on the back half of the year, then building on as a large shell that will call it deliver 6 megawatts suites in call it every other month type of fashion. So little tight right now, focused on where we’re place -- pushing customers, but a longer, larger runaway we’re building our company on the back end of the year.
Operator: Our next question will come from Michael Funk with Bank of America. Please go ahead.
Michael Funk: Hi. Good afternoon. Thank you for the questions. So, first, I am wondering if your posture or your approach to rental rates and renewals has changed at all in the last 12 months, given the tightening in some of the markets.
Andy Power: I mean, I think, we have a pretty responsive pricing dynamic holistically, Mike. So it’s not just on renewals. We have a call it inventory price book for every type of capacity, for every duration of contract, for every market, for every product that is update on a recurring basis in response to what we see in terms of the supply/demand dynamics in the market. We obviously don’t have certain overlays in terms of customer relationships or in the larger growing customers or newer customers that we kind of make sure we’re responsive to at the same time. We’re certainly not sitting by idly when a market is weaker and we need to respond to that with pricing to be more competitive. And on the other flip side of that coin we’ve had experienced like in Singapore or other markets like Santa Clara or Frankfurt, where we raised rates over time and those rates are impacted our renewals and our new pricing in response to, call it, the overall supply/demand dynamic.
Michael Funk: And then one more if I could, Andy, so on the guidance, I saw the non-core expense add back increased for 2021. I didn’t hear you call that out in the prepared remarks. What was the increase in the non-core?
Andy Power: The increase in the non-core, I believe, we got a whole list of items in our FFO reconciliation that kind of hits the non-core that includes our investment in Megaport is good stock price mark-to-market when that flows through, and that obviously, is in the core up or down to our business. I believe there’s a revaluation on our debt at SMP, given it’s a resilient entity and with the U.S. dollar denominated debt to match the currency of the lot lion’s share of our contracts. And we also have, I think, in this particular quarter, a little bit of a benefit from our PPA settlement that we added back, because we didn’t do that as recurring benefits on core FFO.
Operator: Our next question will come from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Great. Thank you. And maybe I could go back to Corey, can you talk about where we are on sort of return to normal in terms of the sales process in some of the regions? Are you still able to get the virtual tours and get the connections or do you think there’s still more room to come back to normal here? And then any commentary on the supply chain, I think you did talk a little bit in your disclosures about, generally not seeing huge issues, but in terms of building costs or building -- you’re building up inventory there? Thanks.
Corey Dyer: Andy, you want me to take the enterprise demand question and just date of use and you can just follow on the second half?
Andy Power: Please go ahead.
Corey Dyer: Okay. All right. So, yeah, thanks for the question. I would tell you that we’re getting closer to the state of normal, if that’s what you want to call it. Some of the things are opening up. But we’ve got a lot of ability around doing tours virtually, we’ve found a bunch of different ways to augment the need and take our customers during the pandemic. So I feel like we’re getting close to it. We’re not quite there. That said, enterprise demand has been really, really good. It’s been strong, broad-based success, still on our platform, Andy mentioned it earlier, but early innings with long tail left. We’re looking through some of the more macro trends. Gartner’s got IT spending getting at 6% growth, with about $4.1 trillion annually and only about $400 billion of that go into public cloud. So we think that enterprise demand and the point of presence and the multi-use cases, as well as multi-markets that we’re going after are going to be there and we’re seeing it continue to sustain. Well, I wouldn’t say that it’s a complete back to normal. We haven’t seen, I guess, in enterprise demand and quite frankly, we think we’ve done a pretty good job adjusting through it with all the ops and FCs and SAs we have important to it [ph]. I think that answer the question, I’m not sure if I did it.
Simon Flannery: Yeah. That’s great. Thank you.
Corey Dyer: Okay, Simon. Okay.
Andy Power: Hey. Simon, can you just repeat the second part of the question to make sure we…
Simon Flannery: Yeah. It was really around the supply chain issues and what you’re seeing in terms of the COVID impacts on your ability to bring on data centers on time, on budget, and any cost issues you might be seeing or inventory issues?
Andy Power: Okay. Great. So let me take the, call it, our digital supply chain, I will let Chris touch on the customer supply chain, because I know that’s been a question out there as well. So, I think, really hats off and kudos to our operational design, construction team and supply chain team for always keeping ahead of this consistently. Obviously, we do all have the benefit of our scale, our global nature, our deep operational expertise. But we’ve not in recent quarters had any, call it, disruption to critical equipment, delays, cost impact and so the team really -- has done a really incredible job of navigating through that. I’m not sure that’s the case for all providers in the data center world, especially smaller stature, but they’ve not been disruption today. And I’d say we’ve -- what we’ve looked at our, call it, 300 megawatts of capacity under development is pretty darn insulated to these any potential inflation shocks and we’re also keeping a keen eye on that. But, Chris, why don’t you hit on the chip piece as well.
Chris Sharp: No. Absolutely not. I echo your sentiment, Andy, the vendor management program that we have in place today, I think, is something that has allowed us to overcome some of the shortcomings of some of the infrastructure within the facilities like breakers, optical infrastructure, things like that. But that’s something that operating on a global basis has been a big benefit digital going forward. But we also stay very close to our customers and really watching if they’re having trouble procuring infrastructure to deploy their architectures into our facility. We haven’t seen a material impact on that as well. I know there’s been a lot of concern around chip shortages and things like that, but again, just to reiterate, not all chips are the same and there’s a lot of variability out there and so have not seen any kind of material impact from customers being able to deploy into the facility. And quite frankly, some of our larger hyperscale customers, they build the entire stack themselves, so they have strict control over their supply chain and so they’ve also not experienced any slowdown in being able to deploy the massive amount of infrastructure required for their deployments as well.
Simon Flannery: Thanks. Thank you. Very helpful.
Operator: Our next question will come from Omotayo Okusanya with Mizuho. Please go ahead.
Omotayo Okusanya: Yes. Good evening. So when I look at the updated guidance, it seems like the only major change there really is the FX assumption around the pound. So is it fair to assume guidance is going up simply because of changes in FX assumptions or is there something also kind of operationally there’s an improvement that that should also be signaled through the guidance increase?
Andy Power: Hey. Thanks, Tayo. The -- I mean the sterling is especially today a much more smaller piece of our business, pro forma for some of our acquisitions over the last year. So while FX did contribute to our outperformance in the first quarter, and obviously, that flows through the guidance, I would not say that was the only thing that drove our increase in guidance. We did have a beat in terms of our internal forecast and was called in the same ballpark as where consensus was. We’ve essentially raised a few elements, the revenue, the EBITDA, the G&A piece is really just the P&L geography you’re mapping from Interxion integrations. And then we also kind of made sure that showed that that flowed through to the bottomline with, call it, an increase at the midpoint of the range, up, I think, $0.075, so 5% year-over-year growth and not all due to FX, it was due to some of the operational outperformance. Not all of our beat flowed through, because some of it was OPEX delayed from 1Q to 2Q, 3Q, 4Q rate of the year, but definitely pleased with the result and which, I would say, gave us the confidence to raise here in the first quarter, which is little, I don’t think I can recall last time we did that in my now six years in Digital, but definitely pleased with the progress.
Omotayo Okusanya: Is that way to separate the effect of those things, the rate some of the carriers do?
Andy Power: Is -- I’m sorry, is there a way to separate those things away from the --
Omotayo Okusanya: The impacts of the two things of actual operational improvement versus FX in the guidance range the way some of your peers do if you can actually tell what’s guiding…
Andy Power: I would…
Omotayo Okusanya: … what?
Andy Power: We used to have a constant currency disclosure at the bottom here. I’m not sure -- I don’t think we have that anymore. I mean I would ballpark the $0.075, maybe $0.03 from FX.
Operator: Our next question will come from Matt Niknam with Deutsche Bank. Please go ahead.
Matt Niknam: Hey, guys. Thank you for taking the question. First, maybe on bookings, can you talk about some of the strengths seen in Asia-Pac and what drove the uptick in bookings during the quarter? And then just on maybe a little bit more of a housekeeping item, margins in the quarter were pretty solid, I think they were the highest since you closed the Interxion deal, but we also saw tenant reimbursements pick up. And so I’m just wondering what was behind the pickup in utilities reimbursements, was that tied to the winter storm in Texas? And then maybe what drove some of the offsetting cost benefits that helped drive EBITDA margins as high as they were? Thanks.
Andy Power: Yeah. Thanks, Matt. So maybe I’ll try to take in reverse order and I’m going to, I think, probably bring in Corey here when we circle back to APAC, but just to the housekeeping piece. A little bit of a funky quarter on the margin front. So I’ve guided you to, call it, to our full-year guidance table on the EBITDA margin. We do have a footprint across Texas, Dallas being the largest piece of that. We were impacted by the winter storm. Again, our operational team did a really marvelous job keeping up and running and customers happy. I literally kind of personally got a cold call from a CTO of a global customer who also had their own asset or data center in the market and needed diesel fuel rerouted to them in order to stay running and our operations team sprung it in action with like an hour’s notice and kind of really saved that CTO’s day. But -- so on the power front, power did increase unusually given the storm. Luckily, one, our team did a nice job hedging in terms of our power cost. Two, while it inflates the expense, it also inflates the reimbursement, because we have a sizable portion of our Dallas or Texas footprint is metered power, so reimbursed. So net-net, especially on the size of company, not really a major negative, but certainly funky when you got that spike in power when you look at your EBITDA margins coming through. In terms of APAC, I mean, I’ll turn it to Corey over here, but I mean just really standout quarter across the full customer product spectrum. We’re now live with, I believe, five, almost six colo projects across our platform from Seoul to Tokyo, Osaka, Singapore and I’m missing one. So we have great success selling into those markets. And then also on the hyperscale or larger footprint front, I mentioned in the prepared remarks, one top CSP signed with us both in Osaka and Melbourne. We also had subsequent accord and anchor customers in Inzai in Tokyo. And then Singapore, maybe I’ll let Corey kind of talk to some of the success we saw in Singapore.
Corey Dyer: Yes, Andy. I would just add, you hit most of the data points I was thinking through in the response. Really broad-based success across the portfolio is what I would say. AP was really successful as well. You mentioned it in your prepared remarks, diversified e-commerce customers that’s been doing a lot of business with us and we really are happy with that. But I would also tell you that our new logos coming out of that region has tripled in the last year. We’re really happy with the team. It’s where most of our organic growth as far as the sales team that we’re putting out there in place. So we’re really happy with it. But I wouldn’t get focused just on AP. I think about the broad-based platform success we’re having across all the regions. I think our largest export region this last quarter was EMEA. So we’re really excited about just kind of broad-based successful we are, and we think there’s a ton of opportunity in Asia Pacific, and, yes, in Singapore, we were pretty successful selling through that large building there that we have. Andy, was there any other data point I missed? I think we hit most of them.
Andy Power: No. I think you got it. Thanks.
Corey Dyer: Okay. Thanks.
Matt Niknam: Thank you.
Operator: Our next question will come from Erik Rasmussen with Stifel. Please go ahead.
Erik Rasmussen: Yes. Thanks for taking the questions. Looking at your table, it looks like Europe seemed to have sort of taken a breather this quarter with leasing down and especially in the greater than 1 megawatt category. Has anything changed there, I mean, I know you talked about a pretty robust pipeline? But maybe some commentary around that, just to understand where the opportunities are and what drove this decline and if there’s anything else you can comment on?
Andy Power: Thanks, Erik. So, I mean, really, Europe or EMEA just really came off of a blowout the quarter prior. I still think I was pretty pressed with the results and thought a really healthy quarter. On the larger footprint side, we had four different CSPs sign across three different markets, Frankfurt, two in Zurich, one in Amsterdam. So definitely pleased with the diversity of demand and from a customer energy offer standpoint. On the enterprise customer standpoint, within the flap, Frankfurt, London, Amsterdam, certainly stood out this quarter in terms of new signings. And within the non-flap, Marseille, Stockholm, and Madrid were some of our top EMEA markets. So -- I -- and as you can see on our development table, we’ve been continuing to increase our footprint of development and building out larger parcels in EMEA on our highly connected campuses there. So I don’t -- I’m still pretty really positive about the growth in Europe.
Erik Rasmussen: Great. And then maybe just on the releasing spreads, the greater than one megawatt. How does that 11.3% decline on a cash basis? How does that compare on a historical basis? I know this is all dependent on customers and mix and there’s a few other things? But can you talk about that 11.3% in the context of what is -- what you’ve seen in the past?
Andy Power: Yeah. It’s -- that’s just a statistic when you slice it down to a quarterly basis and depending on what mix actually gets renewed in that quarter, because it’s not just what actually expires, customers will renew quarters or even years earlier sometimes. In particular, there was two specific customers, one top-five CSP, another enterprise customer that did, call it, fairly chunky renewals in combination with new signings. The CSP was a multi-market renewal, multi-market growth. The enterprise was in one particular North American market. So we thought it was a very fair commercial compromise and love to see them continue to grow with us. I don’t -- I mean, that bounces around and we’ve had worse than that in a given quarter and we’ve had much better than that in a given quarter, and I still -- as you saw we confirm that guidance on the mark-to-market. So we don’t think that’s a truly bad omen or anything like that. And as I mentioned, I think in response to John Atkins’ question on the front part of the call, definitely feel like we’re moving toward better and better territory and expirations based on the product mix and the geography.
Operator: Our next question will come from Sami Badri with Credit Suisse. Please go ahead.
Sami Badri: Hi. Thank you. I want to go back to slide number 10 and also back to the 11.3% that we’re looking at for the greater than one megawatt. Now, I guess, if we go back to about a year ago, you guys are working through a very large vintage of leases and we were kind of -- we were informed that they would be high single-digit or double-digit negative roll down there. But are we pretty much done with the majority of those leases or could we expect a bit more negative rates at least at this magnitude in other quarters in 2021?
Andy Power: Yes. Sam, kind of consistent with my response to Erik’s question, being able to predict with accuracy, the quarterly blend to that precision is pretty challenging, because it’s really out of our control when the customer inks a renewal. But I think I would agree with your outset statement, we started out 2020 with an outlook of net -- call it mid-to-high single-digit negative cash mark-to-markets overall and as we worked our way through that year, we outperformed that expectation. It ended up negative, but it was very slightly modestly negative. And then we went to guidance. Our guidance, again, was really in that same territory where it ended up, so a better outlook than the prior year. If you look at the overall results here, negative 2%, a cash market across all the products, it’s kind of right in line, even, overall, it’s kind of right in line with the language we’ve described here. So, again, I can’t promise you every single quarter is going to be positive. But I do believe, based on our understanding of the expiration of the contracts and the supply/demand market dynamics that we’re heading into better territory on those mark to markets.
Sami Badri: Got it. The other thing is on the zero to 1 megawatt range for the 1.6%. In that zero to 1 megawatt and in those releasing spreads, could you give us an idea on customer mix in there in terms of how much of that is enterprise versus cloud versus other?
Andy Power: Sure. In that zero to 1 megawatt, some of the chunkier deals were -- and those are kind of no particular order. In the New York Metro area, there was a fiber-oriented customer and also a content-oriented customer. In London, there was a top-five cloud service provider. In Singapore, there was a multinational financial services company. In Northern Virginia, there was an ad marketplace type business.
Operator: Our next question will come from Tim Long with Barclays. Please go ahead.
Brendan Lynch: Hi. Good afternoon. This is Brendan Lynch on for Tim. Your slide deck indicates you’ve announced commitments to reduce direct emissions by 68% and indirect emissions by 24% by 2030. Can you -- first I’ve seen those numbers or any specific targets announced, can you provide some color on your execution strategy around that and what it means in practical terms for your operations?
Bill Stein: Sure. This is Bill. We -- as you noted, we’ve established carbon reduction targets in conjunction with the science based targets initiative. And in connection with that, we’ve committed to reducing direct admissions by 68% by 2030 and committed to reducing indirect emissions by 24% by 2030. As you also are probably aware, we lead the data center category and the REIT industry and green bond issuance. We’ve issued $5.6 billion of green bonds since 2015. We also lead the data center industry in green building certifications. We have 796 megawatts of green building certifications. And we also have 556 megawatts of renewable energy that’s contracted, which, of course, contributes to the direct admissions reduction and that includes 154 megawatts in two renewable projects in Texas. For the second year in a row, we’ve been voted the ENERGY STAR partner of the year and for the fourth consecutive year, we’ve been voted NAREIT leader in the Light Award for the data center category and NAREITs only had that leader in the Light Award for data centers for four years. So we’re batting 1,000 right now.
Brendan Lynch: Yeah. That’s great color, and clearly, you’re making some progress there. How does that affect your negotiations to the extent that it does with customers and how are they responding to these initiatives?
Bill Stein: The customers -- many of these customers share the same corporate values that we do with respect to ESG and we’re all about reducing our carbon footprint. So I’d say we’re totally in sync with what our customers’ long-term goals are in this area.
Operator: Our next question will come from Michael Rollins with Citi. Please go ahead.
Michael Rollins: Thanks and good afternoon. Looking at the rent schedule, it looks like about 35% of the rent comes from 1 megawatt and below business. And I’m just curious, given all the comments that you shared on the call today in terms of the financial performance of these rents. Is it a strategic priority within digital to continue to lift this percentage of mix that comes from the 1 megawatt or below leases?
Andy Power: Thanks, Mike. I mean, maybe Corey and I can tag team this for a second. I mean our strategy is to be the leading global provider dedicated full customer spectrum from the service providers, all of the hyperscalers to the enterprise customer. I think we’ve certainly demonstrated a pretty solid and consistent track record on the first leg of that stool with your, call it, top five CSP having 20, 25, 30 different locations with us on average, depending on the specific name. And that value prop of our land and expand and future proof their runway for growth, that operational expertise to the highest demands. Certainly proud of that, and you’ve seen the success in our results. But I think going after and supporting the enterprise is a place we’ve been investing in just as much over the last several years on a multifaceted front. Certainly in terms of the critical pieces of the business we’ve acquired, putting the puzzle pieces together of the rightmost connectivity rich destinations. But also on many of the things both Chris and Corey have been, call it, driving here for digital for some time. So I’ll let them speak to that a little bit as well.
Corey Dyer: Yeah. Thanks, Andy. Right on to that. You think through just the tools we were talking earlier about how we use data to target. So we’re moving that forward as well down that path, if you’re asking about kind of how we’re going after the market if we’re going after that part of the business. As far as the demand that we have going forward, I’m sorry, if I missed some of the question, but I think that was a sales funnel question as opposed to just how we were targeting it. Did I get it all? I’m hearing background noise, sorry, guys. And Michael, can you repeat the second part of the question, I just want to make sure I’m getting it right.
Michael Rollins: Yeah. So the question is just how much of a strategic priority is it for digital to increase the revenue contribution from the one megawatt and below business?
Corey Dyer: Oh! I’m sorry. I’ve got it. Yeah. I am sorry…
Michael Rollins: Just given the financial nature and performance of this type of business versus the larger scale business that you have.
Corey Dyer: I guess I would tell you that we’re going to try to increase both of them. We’re not going to win every customer without discerning between them. But our plan is to continue to grow the enterprise and drive that. I think that will move that mix a little bit naturally, but it’s not going to be at the expense of the CSPs. We’re going to go continue to partner with CSPs, continue to partner with online customers, anybody that’s in e-commerce, AI some of the high-performance computing. So we’re going to continue to grow it everywhere as long as it adds to the value of PlatformDIGITAL and is helpful for us. So I just don’t want you to think that we’re only trying to raise one without the other. We’re going to try to raise that enterprise business may be faster than others to help us with that mix, but we’re going to win everything. Thanks.
Michael Rollins: Thanks.
Operator: That concludes the Q&A portion of today’s call. I’d like to now turn the call back over to CEO, Bill Stein, for his closing remarks. Bill, please go ahead.
Bill Stein: Thank you, Matt. I’d like to wrap up our call today by recapping our highlights for the first quarter as outlined here on the last page of our presentation. One, we understand our commitment to delivering sustainable growth for all stakeholders and we were honored to be named the EPA Energy Star Partner of the Year for the second year in a row. Two, we continue to enhance the value of our global platform, calling non-core assets and extending connectivity solutions. Three, we delivered very solid current period financial results, beating expectations and raising our full year outlook. Last but not least, we further strengthened our balance sheet, raising attractively priced long-term debt, recycling capital and using proceeds to hire -- to retire high coupon debt and preferred equity. Our hearts go out to all those impacted by the COVID-19 global pandemic. And as we approach a post-pandemic environment here in the United States, I’d like to once again thank the Digital Realty frontline team members in critical data center facility roles, who have kept the digital world running. I hope all of you stay safe and healthy, and we hope to see many of you in person again later this year. Thank you.
Operator: The conference has now concluded. Thank you for joining today’s presentation. You may now disconnect.